Operator: Good morning and welcome to the FB Financial Corporation's First Quarter 2024 Earnings Conference Call. Hosting the call today from FB Financial are Chris Holmes, President and Chief Executive Officer; Mr. Michael Mettee, Chief Financial Officer. Also joining the call for the question-and-answer session is Mr. Travis Edmondson, Chief Banking Officer. Please note FB Financial's earnings release, supplemental financial information and this morning's presentation are available on the investor relations page of the company's website at www.firstbankonline.com and on the Securities and Exchange Commission's website at www.sec.gov. Today's call is being recorded and will be available for replay on FB Financial's website approximately an hour after the conclusion of the call. At this time, all participants have been placed in a listen-only mode. The call will open for questions after the presentation. During the presentation, FB Financial may make comments which constitute forward-looking statements under federal securities laws. Forward-looking statements are based on management's current expectations and assumptions and are subject to risks and uncertainties. Other factors may cause actual results to differ materially and performance or achievements of FB Financial to differ materially from any results expressed or implied by such forward-looking statements. Many of such factors are beyond FB Financial's ability to control or predict and listeners are cautioned not to place undue reliance on such forward-looking statements. A more detailed description of these and other risks that may cause actual results to materially differ from expectations is contained in FB Financial's periodic and current reports filed with the SEC, including FB Financial's most recent Form 10-K, except as required by law. FB Financial disclaims any obligation to update or revise any forward-looking statements contained in this presentation. Whether as a result of new information, future events, or otherwise, in addition, these remarks may include certain non-GAAP financial measures as defined by SEC Regulation G, a presentation of the most directly comparable GAAP financial measures and reconciliation of the non-GAAP measures to comparable GAAP measures is available in the FB Financial’s earnings release. Supplemental financial information and this morning's presentation, which are available on the investor relations page of the company's website at www.firstbankonline.com and on the SEC's website at www.sec.gov. I would now like to turn the presentation over to Mr. Chris Holmes, FB Financial's President and CEO. Please go ahead, sir.
Christopher Holmes : All right. Thank you, Chuck. Good morning, everybody, and thank you for joining us this morning. We always appreciate your interest in FB Financial. For the quarter, we reported EPS of $0.59 and adjusted EPS of $0.85. We've grown our tangible book value per share, excluding the impact of AOCI at a compound annual growth rate of 13.5% since our IPO. We're pleased with our results for this quarter and believe that they show strong progress towards our goal of peer-leading financial performance. As we reported an adjusted return on average assets of 1.27% and adjusted PPNR return on average assets of 1.63% and grew adjusted earnings per share by 10% relative to the fourth quarter of 2023 and 12% relative to the year ago quarter. When I provided my outlook for 2024 on our prior call, I noted that the bank was in an enviable position due to our strong balance sheet, the operating foundation that we spent the past two years reinforcing, and the earnings momentum that we were beginning to experience. I'm even more convicted on those points after our first quarter. Our capital ratios continue to improve. We now have a tangible common equity to tangible assets ratio of 10% and a total risk based capital ratio of 15%. The mix of our loan portfolio is trending towards optimal for a bank of our size operating in our growing markets. With a construction and development concentration of 83% and a CRE concentration of 255%, both of those as a percent of risk-based capital. Operationally, we're performing well and there's a cohesiveness across the team, as more direct communication lines have been established between our customer facing and back office associates. The efficiencies of improved processes and procedures are also beginning to come through as our core efficiency ratio in the first quarter improved by over 500 basis points from the first quarter of last year. And finally, on our earnings momentum, we saw broad-based positive trends this quarter for net interest income -- no, I'm sorry, net interest margin, non-interest income, and non-interest expense. On the net interest margin, our increase in the contractual yield on loans held for investment outpaced our increase in the cost of interest-bearing deposits for the second quarter in a row. And our net interest margin was steady at 3.42% versus last quarter's 3.46%. For fee income, mortgage had a solid quarter with a pre-tax contribution of $3.1 million, which is a testament to our expense initiatives, because that contribution was on approximately the same amount of revenue as the first quarter of last year when we had only a $262,000 contribution. The $11 million in fee income that our banking segment produced in the first quarter was also strong, and driven by the efficiencies of our operating platform that I mentioned before, core non-interest expense was down 3.3% from the fourth quarter and down over 10% year-over-year. All that led to growth in adjusted pre-provision net revenue of 12.8% compared to the fourth quarter of 2023. So a strong quarter of operating results that while not at our historical levels of profitability is trending in the direction that we wanted to. As we look to the remainder of the year, we'll be focused on how we can effectively deploy the capital that we've built in order to create long-term shareholder value. As we seek to deploy that capital, we always target organic growth first, which was one ingredient that was missing from our performance this quarter. While we're not thrilled with the $120 million contracts -- contraction in loan balances that we experienced during the quarter. We're comfortable with it as it was driven by a $128 million decline in construction lending at a $49 million payoff -- one of our very few SNC relationships, as our customer was acquired, which by the way was a strong relationship with the bank. As a reminder, we have a bias against SNC lending, but this was one of those very few that meets our criteria of relationship-based in geography with partners that we know. Excluding those two circumstances, we experienced slight growth on the remainder of our portfolio of around 2% annualized. We're targeting mid-single-digit organic loan growth for the year, as we continue to feel confident about the economic health of our footprint, and we intend to return to our historical 10% to 12% organic growth target in 2025. To that end, we've hired a handful of seasoned revenue producers across our footprint in the first quarter, and we continually look for additive team members. Given our size and excess capital, our building presence and market share in our metropolitan markets across our footprint, our local authority operating model headed by strong leadership teams, and our long-term prospects, we're delivering a strong pitch to relationship managers to come join our team. We expect to continue to moderate our construction and CRE concentration ratios and focus more on operating accounts C&I relationships. We intend to operate in the 75% to 85% range on our C&D concentration and the CRE concentration of around 250% or less and will not become over-concentrated in those buckets in the name of growth. We have strong commercial capabilities and a very strong treasury management team and will continue to benefit from the influx of corporate relocations that we're experiencing across our footprint, in addition to taking [share] (ph) from some larger competitors that continue to be disrupted by M&A and internal changes. Our second priority for deployment of capital is strategic M&A. We're well-positioned as a potential partner for smaller banks in and around our footprint. We have significant excess capital that should allow us to absorb the interest rate mark prevalent in today's M&A. And we have very strong risk compliance and operations, functions that we believe will be able to navigate the current regulatory and operating environment. Our third priority for capital deployment is improving our balance sheet and earnings through capital optimization transactions. Late in the quarter, you likely saw Michael and his team executed one such transaction as we sold just over $200 million of securities and reinvested the proceeds for a net pickup in spread of 3.8%. With an annual pre-tax income impact of just under $8 million, that's real money that comes with no risk of integration and no further execution risk. And we would allocate capital to similar transactions. Additionally, we recently had our $100 million repurchase plan, stock repurchase plan, re-approved in order to have that arrow in our quiver also -- and we purchased around $4.8 million worth of stock in this recent -- in this current quarter. So to summarize, I'm proud of our team for the results this quarter. Our profitability metrics are trending in the right direction, I feel strongly that we have the team, the platform, and the footprint to be able to continue to build on this foundation. Now I'm going to turn it over to Michael to give a little more detail on the financial results.
Michael M. Mettee : Thank you, Chris, and good morning, everyone. I'll first take a minute to walk through this quarter's core earnings. We reported net interest income of $99.5 million, reported non-interest income was $8 million, Adjusting for the loss of $16.2 million related to our securities restructuring trade and about $600,000 on the sale of OREO. Core non-interest income was $23.6 million, of which $11 million came from banking. We reported non-interest expense of $72.4 million and adjusting for $0.5 million of FDIC special assessment expense. Core non-interest expense was $71.9 million, $59.8 million of which came from Banking. Altogether, adjusted pre-provision net revenue earnings were $51.2 million, and banking segment adjusted pre-provision net revenue earnings were $48.2 million. Going into more detail on the margin at 3.42%, our net interest margin held relatively flat with the prior quarter’s 3.46%. Contractual yield on loans held for investment increased by 12 basis points, but those gains were offset by a decline in loan fees of 8 basis points, due to a methodology update of our loan fee deferrals. Going forward, we anticipate loan fees remaining in the same relative band and having less quarterly volatility than we have seen in the past. Meanwhile, our cost of interest-bearing deposits increased by 9 basis points in the quarter. For the month of March, our contractual yield on loans held for investment was about 6.55% and yield on new commitments in March were coming in around 8.3%. As a reminder, 49% of our loan portfolio remains floating rate with $2 billion of those variable rate loans repricing immediately with the move-in rates and $1.8 billion of those loans repricing within 90 days of a change in interest rates. Of our $4.7 billion in fixed rate loans, we have $478 million maturing over the remainder of 2024 with a yield of 6.73%. For the month of March, cost of interest bearing deposits was 3.5% versus 3.49% for the quarter. As I mentioned on last quarter's call, we now have a significant amount of index deposits that will reprice immediately with a change in the Fed Funds Target rate. Those balances stood at $2.9 billion as of the end of the first quarter. As Chris mentioned, we are focused on building customer deposits and are continuing to target operating accounts. We also anticipate that public funds will begin to build seasonally over the course of the second quarter and into the third quarter. As we made a focused effort to minimize our reliance on public funds over the past two years, that build will be less dramatic for us than it has been in the years past. And we anticipate our public funds topping out the $1.7 billion to $1.8 billion range in the second and third quarters, as compared to the $1.6 billion that we had on the balance sheet at the end of the first quarter. On the securities portfolio, we sold $208 million of securities with a yield of 2.14% and reinvested the proceeds of 5.94%. And we estimate the earn-back was just a little over two years. That transaction occurred in the second half of March, so we saw very little benefit from that trade in the first quarter. We'll continue to look for profitable deployments of capital in order to improve earnings, but without sacrificing longer-term growth, intangible book value per share. With all of those moving pieces, we expect the margin to stay relatively flat over the coming quarters in the absence of any rate cuts, as repricing loan yields and rising deposit costs continue to mostly offset each other. Moving to non-interest income, non-mortgage non-interest income continues to perform in the $10 million to $11 million range and we'd expect it to remain in that band plus or minus for the remainder of the year. Mortgage had a really strong quarter with a total pre-tax contribution of $3.1 million, which we were very pleased with. For the remainder of the year, we would expect quarterly contributions in the $1 million to $2 million range for mortgage, depending on seasonal activity and interest rate environment in any given quarter. Our non-interest expense continued to see the benefit of operational changes made over the past two years. And the core banking segment expense was $59.8 million for the quarter as compared to $62.6 million in the fourth quarter of 2023 and $66.8 million in the first quarter of 2023. At this point, we'd bring our prior guidance for banking segment expenses down to $250 million to $255 million from our prior range of $255 million to $260 million. On the allowance for credit losses and credit quality, credit was mostly a non-event again this quarter as we experienced 2 basis points of charge-offs. As part of the operational improvements that we've made over the past couple years, our internal analysis on our credit portfolio continued to improve. As such, while our non-performers have ticked up over the past year, and while we're paying close attention there, we feel reasonably confident with the quality of that portfolio, and we feel comfortable that we are very well-reserved. Speaking more to the allowance, our ACL to loans held for investment increased a further 3 basis points during the quarter to 1.63%. But our provision expense was only $782,000 as continued decline in unfunded commitments led to $1.1 million release in reserves on those unfunded commitments. On capital, as Chris mentioned, we have developed very strong capital ratios with TCE to tangible assets of 10% and common equity tier 1 ratio that is now over 12.5%. We continue to balance, retaining excess capital for organic and strategic growth against optimizing near-term earnings through balance sheet restructuring with the goal of building long-term shareholder value through strong and consistent CAGRs for both earnings per share and tangible book values per share. With that I'll turn the call back over to Chris.
Christopher Holmes : All right, thank you Michael. To conclude, we're proud of our team for a strong start to the year and for the company that they're building. So that concludes our prepared remarks. Again, thank you to everybody for your interest. And operator, at this point, we'd like to open up the line for questions.
Operator: Yes, sir. We will now begin the question-and-answer session. [Operator Instructions] And the first question will come from Feddie Strickland with Janney Montgomery Scott. Please go ahead.
Feddie Strickland: Hey, good morning, guys.
Christopher Holmes: Good morning, Feddie.
Feddie Strickland: Just want to sort of clarify on the NIM guidance. Are you expecting that to remain flat, even including that securities restructure impact?
Christopher Holmes: Yeah. I mean – Feddie, we think it's going to stay in that same range. I mean, you have a little bit of public funds coming in, which is a little bit of an offset, but that's kind of [3.40%, 3.45%] (ph) range.
Feddie Strickland: Got it. And also on the funding side, I know there was a jump in other borrowings linked quarter, did you guys tap bank term funding before it closed or was that something else?
Christopher Holmes: Yeah, we actually did that on the last couple days of 2023. So you didn't see it in your -- in the average balances for the fourth quarter. But that's actually with that $130 million-ish for the first quarter. And yes, it was done before it was [capped] (ph).
Feddie Strickland: Got it. Just one last question for me, and I'll step back. I know there's been some weakness in equipment finance, particularly over-the-road trucking at some of your peers. Am I correct in assuming you have some of that in your trucking equipment finance, maybe in that transportation segment that you break out in the deck? Can you speak to whether you're seeing any weakness there?
Christopher Holmes: Yes. And I will – Travis -- I'm going to let you comment on -- make a comment. And then we do have two, three trucking companies that are sizable but long established companies, let's say, privately owned companies and no is frankly the answer. We haven't seen weaknesses in those clients. We don't do any just long-term equipment leasing or we don't do equipment leasing in that space, but we do have some trucking clients.
Travis Edmondson: Yeah, that's correct, Chris. I mean, we have some well-established clients that we've been through several cycles with them. The trucking industry is obviously one that is up and down. But here recently with our trucking clients, we talked actually about this earlier this year. Very good reports from them, and we see no issues.
Feddie Strickland: Understood. That's helpful. Thanks to the color guys, and congrats on a great quarter.
Christopher Holmes: Yeah, thank you.
Michael M. Mettee: All right, thanks, Feddie.
Operator: The next question will come from Brett Rabatin with Hovde Group. Please go ahead.
Brett Rabatin: Hey, guys. Good morning.
Christopher Holmes: Good morning, Brett.
Michael M. Mettee: Good morning, Brett.
Brett Rabatin: I wanted to start with the loan growth guidance of mid-single digit this year. And it's obviously for ‘25, it's low double digit. Can you guys talk about how much more you expect the construction portfolio to come in here? And then, you know, if you're going to have mid-single digit growth in construction abatement, does that mean that loan growth this year could also be on a core basis, closer to your low double digit number?
Christopher Holmes: Yes so first off on the concentration, we're at 83% of risk-based capital, and we really would make a good spot for us to operate is probably 75% to 85%, something like that. You know, sometimes -- and I would support that this way, sometimes you could see maybe, especially even in this environment, things going lower, than some may want to go lower than that. If you look at our geography, you know, you actually live in our geography, so you know it well. And the number of long-term clients that we have and the -- in-migration that continues in our geography, we feel pretty good at that level. Same way on the just commercial real estate concentration. We think that 250% is a pretty fair and risk thoughtful rate concentration level for us and so that's where we -- those are targeted, will be plus or minus on those, but that's kind of the places that we target. Does that answer your question, Brett?
Brett Rabatin: Yeah, to some extent that's helpful. So -- if I'm thinking about loan demand, I think we talked about it, maybe some folks are waiting for rates, what have you, and so a lot of folks are saying demand is not as strong as maybe it might end up. Are you expecting demand to pick up that drives loan growth from here? What are you expecting in terms of loan demand and you guys being selective? I saw we get -- we're going to get a new highest tower downtown with a big new project.
Christopher Holmes: Yeah, we're not on that one just for the record.
Brett Rabatin: I know who's on that one. Yeah, it's a big project.
Christopher Holmes: We're not on that one just for the record. And so, yes, demand is softer. I'd say generally across the board it's softer. It hasn't evaporated, but it's softer. And so when we look out and we go mid-single digits for the year, you know, there's a little bit of hope in that, I guess is the way I would put it because we do see softer demand. But again, I'm kind of repeating myself here, but we still do see some demand. And it comes from all parts of our footprint, not just Middle Tennessee, but we're seeing it in North Georgia, we're seeing it in Alabama, we're seeing it in East Tennessee. So we're seeing it in all those places. We have a steady flow from West Tennessee, which is a legacy footprint. And so that's kind of a flat at this point. Travis, would you add any color on that?
Travis Edmondson: Yeah. I mean, I think that demand has softened compared to 2022-ish, when everybody was growing gangbusters. We still see a lot of opportunities, but we've continued to be disciplined in going after relationships and not transactions. And so that's part of it as well. And we will continue to do that. We will have some more runoff on ADC, but we're getting to the point now on ADC and CRE where we'll start replacing it with more relationships. So we just hope that the contrary from that is not as significant, as it has been the last few quarters.
Brett Rabatin: Okay. That's helpful. And then my other question, Michael, was just around the loan fees and the change there. How much did that dollar-wise or margin impact the quarter relative to 4Q?
Michael M. Mettee:
[:
Brett Rabatin: Okay. Okay. That's helpful. Thanks for all the color guys.
Operator: The next question will come from Catherine Mealor with KBW. Please go ahead.
Catherine Mealor: Thanks. I want to ask on expenses. I know that you've lowered the expense target for the core bank, Michael, just by a little bit to $250 million to $255 million. But I know that Chris, you also mentioned that you had hired a few revenue producers this quarter. And so just kind of curious on the give and take there, is all of your new hires fully reflected in the guide that Michael gave. And maybe talk a little bit about places that you're cutting and how you're able to cut expenses while you're still ramping up hiring. Thanks.
Christopher Holmes: Yes. So as we -- last year, as we were planning – and we – as you know, we underwent some fairly significant expense reductions last year, but we also planned through that for some hires on the revenue side and some hire -- in some investments. And so it was a thoughtful cut process. Now I will add to that though, Catherine, we say to our leadership team and to our managers, we say when we have a chance to get a, bankers in our footprint, we'll take them, -- we'll do it regardless of the expense environment. We'll take them any time. And so, you know, that could adjust it some. Let's say we got a chance to hire 50 this quarter, we hire 50 and our expenses would be outside of that. I don't think we're going to get the chance to hire 50, but we could get the chance to hire four or five, and that might impact us a little bit, but it wouldn't have a huge impact because we've got some of that built into our plan.
Catherine Mealor: Okay, great. And then -- so then maybe as a follow-up to just the deferred fees conversation a minute ago, it was really the main change in the expense guide related to that fee change, Michael, more so than anything else?
Michael M. Mettee: So partially, I'd say – it was a quick math, right? If you go down, it's probably 50% of it or so was the fee change. And then part of it is, we said this last quarter, and you've known us for a while, right, we're going to deliver and then talk about it. And so we continue to try to be mindful of those expense numbers and getting better about it every day through the management process. So a little bit of it's over delivery and then a little bit of it's the loan deferral change, fee deferral.
Catherine Mealor: Okay, perfect, great, that's helpful. And maybe just on the buyback, it was great to see you buy back a little bit this quarter. I know, you said it's organic growth first and then buyback and maybe M&A's after that when that comes back, but is it fair to think as we move through the rest of the year, as organic growth remains slow that you'll continue to be active in the buyback really kind of until growth comes back or how do we think about that balance?
Christopher Holmes: Yeah, I would, you know, part of the [buying] (ph) back is a function of price, and when you're really -- when you feel like your stock is discounted, you feel like it's a good buy, And so I'd say, that's an impacting factor. And then M&A would probably be the other impacting factor. Otherwise, we'll be active to the extent that we have an approval. And so that – so we’ll continue to buy back as long as the stock continues to be discounted in their opinion. We always look at earn back on that capital those kinds of things and we stay within certain parameters.
Catherine Mealor: Great okay, thank you.
Christopher Holmes: Catherine I'll say one other thing on the expense side that just to kind of put maybe an exclamation point on one of Michael's comments, especially when it comes to things like expense initiatives. We don't generally [tattle] (ph) them on the front end and we don't generally tattle them on the back end. But when we -- last quarter in our call, we said we had taken $20 million out of the run rate. Again, you've known us a long time, so you ought to know that it's going to be $20 million or more, whenever we say on a call that it's going to be $20 million, that means -- we're confident we've got at least that. And so that's partly why we gave a little additional guidance this quarter.
Catherine Mealor: That makes sense. And yes, you're right on that. All right, thank you, Chris.
Christopher Holmes: All right, thanks.
Operator: The next question will come from Stephen Scouten with Piper Sandler. Please go ahead.
Stephen Scouten: Hey, good morning, everyone.
Christopher Holmes: Good morning, Stephen.
Stephen Scouten: Chris, I want to remember, when you talk about organic growth first, that does, if I remember correctly, include kind of these new hires and any team lift-outs and such that might occur. And so I want to confirm that -- and then kind of, if you could talk about how you're seeing that versus M&A opportunities today given the rate environment, earn back on securities and such and kind of how you think that might play out through this year and maybe even into ‘25?
Christopher Holmes: Yeah. So -- on the, we do -- when we're talking about organic growth, yeah, part of what we're thinking about there is bringing on new people and new teams and the opportunities there in the capital that, that takes. When you bring those on, of course you bring on the expense first, but if you -- if it pays off in the way that you always anticipate it will whenever you make those moves, it's a very good return on capital, relative to just about anything we can do. And so that's always what we are looking to do. And we feel like there's some tailwinds. We've got some tailwinds when it comes to that. Right now, we're kind of where the company sits from a size standpoint, from some other disruption in the market, from our value proposition for associates that are looking for good long-term places to be. So we think we've got some tailwinds there. And we feel that from folks, frankly, reaching out to us. And so that's why we're optimistic. And then on the M&A front, that's always a thoughtful approach for us because there is a lot of risk in that and there's a lot of execution risk in that even if the numbers line up, you have to execute at a high level, it is not easy. And so that's the reason we stay pretty targeted and focused on the things that we think work well for us versus just fielding calls from anything that comes up for auction or any folks that we don't know already pretty well. And so -- but if we get one of those calls, it's going to be something, if one of those becomes available to us or wants to talk to us, then we're going to be very, very interested. And that's part of the reason we have ourselves in the capital position that we're in, is so that we can make that happen, even in a time like today, where you've got big AOCI marks and you've got some things that work against you maybe on your balance sheet.
Stephen Scouten: Yeah, that's a helpful color. Appreciate that, Chris. And then -- as I'm thinking about your guidance here around a flattish NIM and then still kind of mid-single-digit loan growth for the year. Do you think we've reached or maybe are pretty close to the bottom from an NII perspective on a quarterly basis or maybe said another way? Do you think you can grow NII from this kind of -- what was it, about $100 million this quarter? Can you grow off of that base throughout ‘24?
Christopher Holmes: Yeah. We think we're at a place where we shouldn't really deteriorate much from here. Growth is going to depend on what the growing NII from here, it does -- some of that depends on what happens on the asset side and how much we can grow the asset side. Of course, rates are always, none of us know what's going to happen, but that’s -- we're asking ourselves the same question, Stephen. And we've got some optimism around that. We can do that over the next few quarters. But we also have a dose of realism when we do that. And that's why Michael's guidance [wasn’t] (ph) overly aggressive. Notice, we haven't given overly aggressive guidance the last, gosh, probably four quarters or five quarters. You hear us being more optimistic on pretty much everything. We beat on margin and net interest income, generally, we did that on expenses and non-interest income. And so that's pretty much the big three. And so we feel pretty good about being able to maintain that and then --. And so now we're thinking about how we build that and like I said, some of that comes from growth and growth in the right spots, we've got to continue to grow relationship-based deposits and we got to grow just good core loans at this point.
Michael M. Mettee: Yeah, and Stephen, I just add to that. Certainly the investment portfolio trade benefits, net interest margin kind of back to Feddie's question, I may not have answered it really well, but I will say, new deposits are still expensive. I mean, so as you grow deposits, it can impede some of your net interest income. Hopefully, you offset that with the loan growth that Chris was just talking about, because you are earning nice-size yields, as we mentioned, 8.3% on new commitments on loans. So the math works if you can find the growth, but deposits are free, I'll say that. And so there's a balance in there, and a little bit of an unknown.
Stephen Scouten: Yeah, yeah, no -- and that brings up maybe my last question would be kind of, what are you seeing from a mixture perspective at this point in time? It looks like, I mean, this quarter the non- interest-bearing deposits on an end-of-period basis were, you know, not down very much. Do you think we've kind of -- we're past a lot of those outflows and do you think the non- interest-bearing deposits maybe can stabilize here around, you know, 20-ish percent of deposits or what do you seeing there from a mix shift perspective?
Michael M. Mettee: Yeah, I think from a -- the reality is we went most of the quarter where we were right on the prior quarter number from a mix and end of the quarter dip down, we're back slightly up this quarter above and so that 20% marker is something that I keep pointing back to when I think about our combination with Franklin Financial back in 2020, that's where it [pro-form] (ph) it out to. So, you know, that's probably the floor there, I would hope. But we're working every day to stay above it. I'll say that and get those core operating accounts. So it's remained fairly consistent.
Stephen Scouten: Yeah. Okay. Thanks for --.
Christopher Holmes: Thanks. It's, you know, we watch it every day and so it's -- you know you guys generally see a point-to-point and like I said it was up most of the quarter Michael's -- and then just I mean literally the last week of the quarter dropped. And then the first week of the new quarter, it's up. And so right now, it would be up versus where it was at the end of the quarter. So I say all that to say, I think we're right in a zone where we're going to be fairly stable where we are when it comes to the non-interest bearing.
Stephen Scouten: That's great. Thanks for all the color and I hope you guys keep under-promising and over-delivering. We appreciate it.
Christopher Holmes: Thanks, Stephen.
Operator: The next question will come from Alex Lau with J.P. Morgan. Please go ahead.
Alex Lau: Hi, good morning. I want to start off with mortgage. Can you talk about what drove the positive contribution from the change in fair value of loans and derivatives in the quarter? And how do you think about this contribution to the $1 million to $2 million quarterly expectations in the quarters ahead?
Michael M. Mettee: Yeah Alex, that's a good question. If you look on, I guess it's slide 14 or 15, the mortgage slide in the deck, it's really a function of pipeline growth. So the team did a really good job, actually better than expected, on new rate lock commitments during the quarter. So we had a -- call it a $135 million increase in the pipeline, which drives the fair value higher. And some mortgage rights, you recognize the income on a pull-through basis on the rate lock. So that was the driver there. And I also give them credit for continuing the other side, expense management. They've done a really good job as well. We talk a lot about banking segment expenses and total company, but they've continued to get more efficient, which is certainly a goal and appreciated. And then the second half of that question, how we think about it going forward, I think, the fourth quarter was probably the seasonal decline, the low point, first quarter better than expected on activity in the marketplace. And we see that kind of evening out here. Typically you'd see that pop in the second and third quarter. Rates have popped up a little bit, and not a little bit, actually a lot, since quarter end, and so that's moderated a bit. And so we'll just have to see how that kind of works its way through in total for the interest rate environment.
Christopher Holmes: Well, the reason that's a little bit hard to forecast is what the -- first part of what Michael said is you've got that mark-to-market on your pipeline. And so -- as your pipeline is getting bigger, generally that's going to go -- it'll be a positive for you. As your pipeline goes smaller, generally that's going to be a negative for you. And our pipeline was a little bigger at the end of the quarter.
Alex Lau: Thank you for that. And moving on to credit, regarding your commentary in the press release for the reason to adding to your loan loss reserves, you mentioned being cautious on the economy. And can you explain what asset classes are you more cautious on? And also how does this translate into your net charge off outlook and when this is expected to normalize?
Christopher Holmes: Yeah, So Alex, we're listening to your boss as a recent -- as a little higher. No, we -- so, you know, if you look at asset classes, you know, remember, we've got – we’re pretty comfortable with our concentrations right now. You know, but we do still have some commercial real estate. Again, we're not overweighted, but we do have some commercial real estate. We like the way that -- that's distributed among multifamily, among office, among all types of assets there. We also -- if you look at our other asset types, we do have a consumer portfolio that comes with our manufactured housing division. That manufactured housing division, one we like a lot and performs well for us, but we reserve heavily, especially on the consumer side of that. Actually, we can serve -- when that goes on the books, we're generally reserving that at a 5% reserve.
Michael M. Mettee: So yeah, Alex, I just add I mean, the construction bucket you saw an increase there, if you look on page 11 of the deck, and It wasn't necessarily because there's problems in the portfolio. It's just unknown in that CRE multi-family space, which we saw a slight uptick in our funded commitments there, percentage-wise, and now are just trying to hold it flat given all the noise in the quarter, kind of nationally. Brett's question mentioned that the big projects here in Nashville those aren't ours, but just being cautious on any type of contagion in and around the footprint. The second half of this question was our charge-off outlook. And I think our commentary in the deck says, hey, we have 10 years, we've averaged 5 basis points per year. We're off to a pretty decent start there. We debate this internally all the time as to what normal is and when that's going to return. And so we -- if we look through the portfolio you know we would say we're a bit off, ways off from whatever normal is. If that's for the industry, 15 basis points to 20 basis points. But we don't see it yet. But there's probably something out there from an industry perspective we're trying to guard against.
Christopher Holmes: Yeah it doesn't -- it's a tough one and Michael highlighted something that we've been highlighting I mean -- we've averaged 5 basis points of charge-offs to actually just a shade under that for 10, if you go over a 10-year average. And remember, we got a manufactured housing portfolio in there, so we're taking some -- we take every single quarter, we take some charge-offs on that part of the portfolio. Think of that, not unlike, say, a credit card piece or something. It's a consumer piece where you're just going to have some charge-offs every [month] (ph). And so outside of that we've had almost nothing for a decade and we just don't think that's normal. We don't know when normal returns and we don't know what normal it will look like when it returns. But we count ourselves being prepared. So whenever it does return, we plan to be prepared. So we are prepared.
Alex Lau: Thank you for that. And just a follow-up on the NIM guidance. What do you assume for your rate cut outlook for this year?
Michael M. Mettee: We had two. We have two -- we've had two. And they're both backloaded September and November, So it's very minimal. I think you are aware we've been probably on an outlier in our rate outlook and we -- if we can't forecast credit will probably even worse on interest rates.
Christopher Holmes: We are but I'm going to give Michael and team a little credit because when we built the budget back in August and September, they put two rate cuts back in August and September of 2023. They had two rate cuts, one in September, one in November, back in August of 2023. So we don't know what's going to happen but that was certainly not consensus at the time that was built into our budget and we haven't changed we just we kept it like that.
Alex Lau: Great thanks for answering my questions.
Christopher Holmes: Thanks Alex.
Operator: The next question will come from Matt Olney with Stephens. Please go ahead.
Matt Olney: Hey, good morning. I just want to go back to the discussion around the new hires that you made. I think you touched on it briefly, but any more color on what type of bank they came from, what geography, and just how many, and then taking a step back on the loan growth guidance, just how much of the mid-single digit guidance for this year, is driven by those new hires?
Christopher Holmes: Yeah, so bigger banks is, where they've come from, and so is -- all of them bigger banks Travis I'm trying to think.
Travis Edmondson: So three of the five are bigger banks and two of them – one, they're both smaller banks.
Christopher Holmes: Okay, got it. So combination of both and no we're not -- I guess that's one data point when we're saying, when we're talking about business coming on or mid-single digit type growth. That's a contributor, but it's not the contributor. It's one piece of the organic growth picture. Some of that is taking share and growing our own folks growing their business. Our folks have been with us for decades.
Matt Olney: Okay. And Chris, following up there, You mentioned before the bank is always opportunistic in terms of new hires, [depending] (ph) upon kind of what's out there. How would you just characterize the opportunity set now for bringing over, new talent on the production side?
Christopher Holmes: Yeah, I think there's never been a better time for us because we -- in terms of our positioning to do that. If you consider size, we're big enough that we can hire from bigger competitors and they can get their business done here. Our model, which is heavy on local authority is one that is experienced bankers really like. And I think, we're seeing that just from the number of inbound calls that we get. We're getting more inbound calls than we traditionally got. We're always talking to folks. It's just -- as is everybody else, by the way. I mean, meaning you're doing business with folks and you're out in the market, so you -- we always see other bankers but there seems to be for whatever reason, a few more now that have made an indication that they would be looking to move. Travis is nodding affirmative and giving me a thumbs up on that. So I think he would say the same thing.
Matt Olney: Okay, that's a great color, Chris. And then I guess going back to the M&A discussion, I'm curious what you're hearing and what you're seeing from that point of view. And it's been a quite few months, obviously, but there was a M&A deal announcement last night, so it's a good reminder that there is still some M&A. I'm curious kind of what you're hearing and seeing and just remind us of your strategic priorities when it comes to M&A.
Christopher Holmes: Yeah sure I'll take that sort of back into that question and then go back to the front. Strategic priorities for us would be -- culture always comes first, and so we want to look at things that are similar, look for places that are similar to us in their way of thinking. And then secondly, we really are interested in deposit side of the balance sheet. We love those legacy deposit bases. We have, about half of our deposit base is retail and so we love a retail component if they have it. So -- and then geographically, we don't mind, we were pretty good in smaller markets as well as metropolitan, so we don't mind if there's a smaller market component to it, which is sometimes where you will find that retail-type base. And so those are things that we consider of course, you're always going to look at the financial side, the [management] (ph) side has to work for it to go anywhere. So that's strategically and then geographically, we're looking contiguous to our geography -- in geography and contiguous to our geography is strategically what we look for and what we think about. And then the first part of that question was the overall environment? The overall environment, I think there's a lot of interest out there in the environment. And I think that interest is driven by, it's a harder operating environment. And it's a harder operating environment and it's a harder regulatory environment. And I think, as teams look forward, maybe they're looking forward and going, this looks like -- it might not be much fun over the next couple of years. And they were thinking about what their options were or are, and they decide they want to have a deeper conversation about partnering. And so I think there's a lot of that going on. I think it's hard. One of the things that I'm not sure everybody considers is there are fewer buyers, there are fewer qualified buyers today than there traditionally have been for a lot of reasons but some of those are -- again there, when you start to look at banks that have the size to be able to do it and get regulatory approval, I think that weeds out buyers. And then once a buyer gets tied up, they might not be able to do anything for a year or more. And so I think all of those things create an environment where there's a lot of dialogue going on.
Matt Olney: Okay. All right, guys. We'll appreciate the great commentary and great quarter. Thank you.
Christopher Holmes: Thanks, Matt.
Michael M. Mettee: Appreciate it, Matt.
Operator: The next question will come from Steve Moss with Raymond James. Please go ahead.
Steve Moss: Good morning.
Christopher Holmes: Hey, Steve. Good morning.
Michael M. Mettee: Good morning, Steve.
Steve Moss: Goo morning. Maybe just going back to credit here, just like -- I know it's a small increase, but just curious as to what drove the increase in NPAs this quarter. And just wondering if that was also related to the increase in the reserves for construction.
Travis Edmondson: Yeah, good morning, Steve. The increase in NPAs was, like you noted, slight. And it's really just the normal churn of the portfolio. We had several additions, but we also had several upgrades coming out of it. And we don't see anything systemic, but we haven't gotten the all-clear sign, as our Chief Lending Officer, Greg Bowers, tells us quite frequently. And then we talk about it in our earnings release, we put in some infrastructure over the last year, 1.5 year specifically around the second line of defense. And quite frankly, we just have more eyes on our portfolio than we have in years past. And that's also probably attributed to us being more timely as a recognition of loans that we need to really pay attention to.
Michael M. Mettee: The model and -- where risk may [lie] (ph) in the economy. NPA increases certainly impact your reserve calculation, but that wouldn't be the driver of the increase, the major driver.
Steve Moss: Okay, that's helpful. And then in terms of the office portfolio, Just curious here, you know, I see the disclosures here on Page nine of the deck are helpful, but with the Class B and C portfolios, I see that weighted average occupancy in the 70s. Just curious, is that kind of normally where they come on? Or is that kind of an effect of just lower office rentals? Just curious, how to think about those occupancy rates and credit performance.
Travis Edmondson: Yeah, Usually in the B and especially the C, a lot of those relationships are value-add where people buy maybe underperforming office buildings and use their expertise to get them more performing. So the occupancy is a little bit lower and quite frankly we underwrite it to a lower occupancy rate for that very reason.
Steve Moss: Okay. Great. Appreciate that. And then in terms of the -- with regard to balance sheet restructuring that you guys just pulled the [curious] (ph) transaction here late in the quarter. It sounds like you have an appetite for doing additional transactions. Just curious, you know, if you could quantify, like -- how much more you're looking to do or kind of, you know, I know we've had a lot of moving rates, and maybe that has changed the dynamic here versus a few weeks ago."
Michael M. Mettee: Yeah, Steve, it's a lot less exciting than it was a few weeks ago. We're glad we did it when we did it. I'll say that. Yeah -- it's really a balance and priorities like Chris mentioned and there's organic opportunities first and then if we can find the right partner, you want to make sure that capital would look good in that combination. And then so -- we kind of show, hey we could restructure the entire portfolio and still be at 11.5%, 11.6% on a common equity tier 1, be well above, well-capitalized. So we could do it -- and it would be quite accretive to EPS. And we look at it. I'll tell you -- we look at it every day. We've looked at the entire thing, but it's a matter of priorities and then balancing what opportunities may be out there. And so it's a daily discussion.
Christopher Holmes: Yeah, Steve, I'll just add, if you look at our metrics, I mean, easily the one that is the most maddening to me and -- is our return on tangible common equity, not because our earnings are really poor, but because we're sitting on so much tangible common equity. And so we are thinking every day about how to deploy that. We hate diluting our tangible book value, and so we're very thoughtful before we take any tangible book value as Michael said in his comments with this had a [2.1 year] (ph) earn back on it. And so we'll do that. And that's the way that we think about those transactions. We're weighing that dilution versus how much accretion we get on it. And as Michael said, we don't think about anything including restructuring the entire portfolio and we could easily do that and not endanger our capital ratios. And so, but we'll think about all that -- but we're pulling the trigger to the things that clearly make sense. And we're trying to figure out, hey, how do we get a better return on our tangible common equity right now? And so we'll take any suggestions, too, by the way.
Steve Moss: All right. Well, I appreciate all the color. Thank you very much, guys.
Christopher Holmes: Okay. Thank you. Thanks, Steve.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Chris Holmes for any closing remarks. Please go ahead.
Christopher Holmes: All right. Thank you all for joining us today. Really appreciate the questions. And I'm sure we'll be speaking to some of you additionally for -- to get additional color. But we always appreciate your interest in FB Financial. And we will talk to you again next quarter. Thank you.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.